Operator: Please standby. Good day, and welcome to AerCap Holdings N.V.'s fourth quarter 2024 financial results. Today's conference is being recorded, and a transcript will be available following the call on the company's website. At this time, I would like to turn the conference over to Joseph McGinley, Head of Investor Relations. Please go ahead, sir.
Joseph McGinley: Thank you, operator, and hello, everyone. Welcome to our fourth quarter 2024 conference call. With me today is our Chief Executive Officer, Aengus Kelly, and our Chief Financial Officer, Peter Juhas. Before we begin today's call, I would like to remind you that some statements made during this conference call which are not historical facts, may be forward-looking statements. Forward-looking statements involve risks and uncertainties that may cause actual results or events to differ materially from those expressed or implied in such statements. AerCap Holdings N.V. undertakes no obligation, whether or not imposed by law, to publicly update or revise any forward-looking statements to reflect future events, information, or circumstances that arise after this call. Further information concerning issues that could materially affect performance can be found in AerCap Holdings N.V.'s earnings release dated February 26, 2025. A copy of the earnings release and conference call presentation are available on our website at aercap.com. This call is open to the public and is being webcast simultaneously at aercap.com and will be archived freely. We will shortly run through our earnings presentation and will allow time at the end for Q&A. As a reminder, I would ask that analysts limit themselves to one question and one follow-up. I will now turn the call over to Aengus Kelly. Thank you for joining us. For our fourth quarter 2024 earnings call, we are pleased to report another strong year of earnings for AerCap Holdings N.V., generating GAAP net income of $2.1 billion and earnings per share of $10.79, adjusted net income of $2.3 billion, and adjusted EPS of $12.01. We expect to see a continuation of the trends that we saw last year in 2025. This includes the supportive supply-demand dynamic, continued accretive capital deployment opportunities, and robust demand for our assets, leading to an adjusted 2025 EPS range of $8.50 to $9.50, not including the contribution of gains and sale of assets, which historically have been material. As we have discussed in prior quarters, the positive environment for aircraft leasing continues, and we are seeing this reflected in strong operational performance in the business. Last year, we generated $5.4 billion of operating cash flow, which of course excludes $651 million of gains on sale. During the fourth quarter, we generated a gain on sale margin of 43% of 260% of the associated book equity. We executed 812 transactions across our various businesses, equivalent to more than two per day. This level of activity gives AerCap Holdings N.V. unrivaled insights into the global aviation market. This in turn allows for a better understanding of our customers' needs and how to support their growth. Looking ahead, we have $45 billion of contracted future lease cash flows in place on our existing fleet, over 40% of which will be received in the next three years. This gives us tremendous visibility into our future cash flows, allowing us to allocate capital effectively and thoughtfully, creating continued value for our shareholders. With this in mind, we are pleased to announce a new $1 billion share repurchase program, our largest single authorization to date. This takes the total amount of buyback spent and authorized in the last two years alone to $5 billion, further underlining the significant value we see in AerCap Holdings N.V.'s stock today and our confidence in the outlook for 2025 and beyond. Turning to the markets, it is clear that the industry continues to plan for a lower for longer supply environment, evidenced by continued increases in lease rates, lease extension demand, and strong gain on sale. 2024 was the third year in a row of increased extension activity, reflective of this ongoing demand for aircraft. This is also driving strong sales activity, resulting in a $260 million gain on sale in Q4, our highest in a single quarter, and also a record full year gain on sale of $651 million. The largest global aircraft leasing conference was hosted in Dublin last month, attracting thousands of stakeholders to the event, and it was clear from the many conversations we had with airlines, aircraft traders, and financers that the demand for aviation assets continues to grow. As you can see from the slide, we are selling a wide mix of assets to a wide mix of buyers, each with a different focus on asset type, age, or counterparty. In the first category, airlines tend to focus on the older part of the curve, typically buying out aircraft at the end of a lease to secure certainty of capacity. Given their knowledge of the aircraft and its maintenance condition, they are well placed to understand the value of the aircraft. To generate strong gains in sale with this buyer base reflects well on two things. Firstly, it shows the critical benefit of having in-house engine and technical teams who control the lifecycle spend and condition of the aircraft engines, translating into higher residual values. Secondly, it points to the premium our assets command in the markets over our carrying values. In light of the continued OEM delays and engine reliability challenges, this is a theme we expect to continue into 2025 and beyond. Financial investors, on the other hand, tend to buy young to midlife aircraft and engines, ideally with long lease terms remaining, where predictability of income is highly valuable. These buyers were more prevalent before COVID, but we see early signs of strength returning here again based on some of the recent conversations we are having in this space. The other category contains aircraft sold for part as finance leases and sales to other leasing companies, the combination of which run the full gamut of age and aircraft types. In summary, this shows that AerCap Holdings N.V.'s gains on sale are not limited to a select few assets or credits, with broad-based across our aircraft, engines, and helicopter portfolios. Gains on sale have been a feature of our business for almost twenty years as a public company and reflect the deep embedded value created by the AerCap Holdings N.V. platform every single day. Turning to capital allocation, we mentioned earlier that we have excellent visibility of future cash flows, which is key to our capital deployment strategy. We will continue to utilize these strong cash flows to return capital to you, our shareholders, while also leaning into today's very strong sales environment. In doing this, we will continue to sell our lower priority assets for strong gains in sale and reinvest the proceeds into organic growth and share repurchases, resulting in a more efficient, more profitable company.
Joseph McGinley: Over the last two years alone, we have invested over $12 billion into new assets, returned over $4 billion to shareholders, and delevered. This shareholder-friendly approach to capital return has not come at the cost of financial flexibility. In fact, quite the opposite, as our leverage ratio remains well below our stated targets of 2.7 times to 1, and our credit ratings stand at the highest ever level at BBB+. I am sure it's not unique to return significant capital to shareholders, but it is extremely rare that it can be achieved at this scale while delevering the balance sheets and increasing your investment-grade credit rating. What should also stand out to investors is the stability and consistency of this approach over many years. On the left-hand side of the slide, you'll see our organic investment in the business. This organic growth comes from three sources: one, direct aircraft purchases from the OEMs made in more favorable environments; two, opportunistic sale-leasebacks with new and existing airline customers that need AerCap Holdings N.V.'s help; and three, our recently announced engine deals. On shareholder returns, as we mentioned earlier, today's record $1 billion share repurchase authorization makes total announcements to $5 billion in the last two years. In that time, we've deployed $4 billion and reduced the share count by 25% with more to come from this latest authorization. These returns come from a position of strength built on industry-leading cash flows, knowledge, and profitability, making them both attractive and sustainable. So as we look back at 2024, this was another great year for AerCap Holdings N.V., with broad-based demand for our aircraft. We completed 150 asset purchases, executed just under 500 lease agreements, and generated $5.4 billion of operating cash flow. In addition, we repurchased 16.8 million shares for $1.5 billion, reduced our leverage to 2.35 times, and were upgraded to BBB+ by both S&P and Moody's. Looking forward to 2025, our confidence in the company's outlook remains strong, and we look forward to demonstrating this to you in the quarters and years to come. With that, I'll hand the call over to Pete to review the financials and the outlook for 2025. Thank you.
Peter Juhas: Thanks, Gus. Good morning, everyone. Our GAAP net income for the fourth quarter was $671 million or $3.56 per share. The impact of purchase accounting adjustments was $112 million for the quarter or $0.60 a share. That includes lease premium amortization of $30 million, which reduced basic lease rents, maintenance rights amortization of $22 million, which reduced maintenance revenue, and maintenance rights amortization of $60 million, which increased leasing expenses. During the fourth quarter, we had $168 million of recoveries related to the Ukraine conflict, or $0.89 a share. This represents settlements with certain of the insurers on our CNP insurance policy. The overall tax effect of the purchase accounting adjustments and the net recoveries related to the Ukraine conflict was $8 million or $0.04 a share. So taking all of that into account, our adjusted net income for the fourth quarter was $624 million or $3.31 per share. I'll briefly go through the main drivers that affected our results for the fourth quarter. Basic lease rents were $1.619 billion, an increase from $1.605 billion in the third quarter. Basic lease rents reflected $30 million of lease premium amortization, which reduces basic lease rents. These premium assets are amortized over the remaining term of the lease as a reduction to basic lease rents. Our maintenance revenues for the fourth quarter were $106 million. That reflects $22 million in maintenance rights assets that were amortized to maintenance revenue during the quarter. In other words, maintenance revenue would have been $22 million higher or $128 million without this amortization. Net gain on sale of assets was a record $260 million for the fourth quarter. We sold 40 of our owned assets during the quarter for total sales revenue of $869 million. That resulted in an unlevered gain on sale margin of 43% for the quarter, which is equivalent to a multiple of 2.6 times book value. And that's one of the highest quarterly margins we've ever had. As of December 31, we had $466 million worth of assets held for sale. Other income was $88 million for the quarter, which consisted primarily of interest income. Interest expense was $505 million for the fourth quarter. Leasing expenses and that includes $60 million of maintenance rights amortization expense. Income tax expense was $93 million, which represents an effective tax rate of 12.8% for the fourth quarter. For the full year, our effective tax rate was 14.3%, which includes around $40 million of valuation allowance releases and tax recoveries during the year. I'd also note that 2024 is the first year we are subject to the global minimum tax under pillar two, which increased our tax rate by 1.9% from what it otherwise would have been. On the next slide, you can see a walk of our full-year earnings and EPS. And as you can see, it was a very strong year for AerCap Holdings N.V. We had approximately $2.1 billion of GAAP net income for the year, which included $195 million of net recoveries related to the Ukraine conflict. That resulted in $10.79 of GAAP EPS for the year. After adjusting for the insurance recoveries, as well as for purchase accounting items of $475 million, our adjusted net income was approximately $2.3 billion for the year, and that equates to adjusted EPS of $12.01 per share, which is a record for AerCap Holdings N.V. As a result, for the full year, our GAAP return on equity was 12% and our adjusted ROE was 14%. Our operating cash flow was a record $5.4 billion for the year. That doesn't include any proceeds from Russian insurance settlements because those go through investing cash flow. It also doesn't include any gains on sale; those also go through investing cash flow. We continue to maintain a strong liquidity position. As of December 31, our total sources of liquidity were approximately $21 billion. That compares to uses of around $11 billion, resulting in a next twelve-month source to usage coverage ratio of around 2 times. And that reflects excess cash coverage of around $10 billion. Our leverage ratio at the end of the quarter was 2.35 to 1, which is slightly lower than last quarter. Our operating cash flow was approximately $1.3 billion for the fourth quarter. Our secured debt to total assets ratio was 12% at the end of December, which is the same as last quarter, and our average cost of debt was 4.1%. During the fourth quarter, we bought back 3.1 million shares at an average price of $94.74 for a total of $297 million. We also paid our third quarterly dividend of $0.25 a share. Our book value per share was $94.57 as of December 31, which is an increase of 13% over the last twelve months. And that, of course, doesn't include $0.75 a share in dividends that we paid out during the year. So that covers our 2024 performance. Now I'll turn to our guidance for 2025. For 2025, EPS of $8.50 to $9.50 not including any gains on sale. On the next slide, you can see we provided a walk of our EPS from 2024 actuals to what we expect for 2025, to call out some of the major items. In 2024, we had gains on sale of $651 million or $2.85 per share after tax. So excluding gains on sale, our adjusted EPS for 2024 was $9.16. In 2024, we had a high level of other income, which was driven in part by high cash balances as well as some one-time items. So in 2025, we're expecting other income to be lower by about $0.35 a share. As I mentioned, we recognized around $40 million of discrete tax benefits in 2024, which reduced our effective tax rate for the year. Without these benefits, our effective tax rate would have been around 16%. We aren't projecting any tax benefits in 2025, so that's a headwind of around $0.20 a share in 2025 compared to 2024. Those are the major items to call out. The last column includes everything else, including leasing, maintenance, share repurchases, etcetera, and we expect the net effect of all of these will be about $0.40 positive in 2025. So that takes us to the EPS range of $8.50 to $9.50 for 2025. Again, not including any gains on sale. On the next slide, you can see a breakdown of our projected income statement for 2025 showing the major line items. For the full year 2025, we expect to have lease revenue of around $6.6 billion, maintenance revenues of around $700 million, and other income of around $200 million for total revenue of about $7.5 billion. We've assumed that we'll have cash CapEx of around $5.6 billion for the year and asset sales of around $2 billion. As you know, these figures can vary significantly; CapEx is largely dependent on OEM deliveries, and sales volume depends on the demand for assets and the time it takes to close those transactions. We're projecting depreciation and amortization around $2.7 billion for the year and interest expense of around $2.1 billion. We expect leasing expenses, SG&A, and other expenses to total around $1.3 billion for the year. On tax, we've assumed an effective tax rate of 16.5%, which as I mentioned, assumes no specific tax releases as we had in 2024. That also reflects the impact of global minimum tax under pillar two, resulting in a top-up tax for jurisdictions like Ireland where the company is paying an effective tax rate of less than 15%. In 2025, we expect to recognize earnings of around $100 million to $150 million from our equity investments, and that's primarily our engine leasing joint venture SES, but it also includes some other smaller equity investments. Altogether, that gives us projected GAAP net income of around $1.3 billion for the year. After purchase accounting adjustments of around $300 million after tax, we expect to have adjusted net income of around $1.6 billion for the year. That gives us an adjusted EPS range of $8.50 to $9.50 for the year, again not including any gains on sale. Overall, AerCap Holdings N.V. continued to perform very strongly during the fourth quarter. As we look out into 2025, we continue to see a strong environment for leasing, which you can see from our utilization rate of 99%. It also continues to be a strong environment for aircraft sales, and you can see that reflected in the record level of gain on sale in the fourth quarter and for the full year 2024. We're continuing to generate strong cash flows that in turn result in greater profitability and more financial flexibility, and we're deploying capital towards attractive aircraft and engine opportunities. We also continue to return capital to shareholders. Over the past two years, we bought back over $4 billion worth of stock, which is almost 30% of our market cap at the beginning of that period. And today, announced a new share repurchase program of $1 billion, which is our largest program ever. We've also announced today an 8% increase to our quarterly dividend, taking it to $0.27 a share. All of these actions reflect our strong confidence in the value of AerCap Holdings N.V. stock and in the company's outlook for the future. And with that, operator, can now open up the call for Q&A. Thank you.
Operator: Allow the signal to reach our equipment. Again, press star one to ask a question. We will take our first question from Hillary Cacanando with Deutsche Bank.
Hillary Cacanando: Hi. Thanks for taking my questions. So you talked about different sets of AIR OPTIX Fire in the secondary market, which is very interesting. I just wanted to get your view on what happens to the sales environment when the OEM starts producing Aeropact on time, which I understand it's a couple of years from now. But is it your view that the sales environment, you know, will remain robust, but maybe the mix changes to maybe, you know, more financial buyers and part of buyers find their, you know, the airline buying in the secondary market? You know, is that the right way to think about it? Or, you know, or do you think the sales and buy supply gets back to normal?
Aengus Kelly: Thank you, Hillary. Well, first of all, I do believe there'll be a shortage of aircraft for years to come as I have said on several calls and at our Capital Markets Day. So you're right that eventually, of course, the airframers will start producing more aircraft. I still think that's several years away before they get to their targets. But, you know, if you go back to our capital markets day where we highlighted the challenges of the aircraft that are being produced today, that they do not spend as much time in service as their predecessors because they are more fragile. They spend more time in the shop. Therefore, I expect to see continued strength out of necessity for used aircraft values well into the future. From our perspective, what you will see though is that our portfolio is 75% new tech at the moment, and I'm sure over the course of the next few years, that'll get closer and closer to 95, 98.
Hillary Cacanando: Yeah. Great. Thank you. Definitely helpful. And then just a quick touch in on these expenses. It seems a little, you know, a bit elevated in the fourth quarter. I was wondering if you could talk about what drove that and if this could be like, would you run rate going forward or no?
Peter Juhas: Sure, Hillary. So it was slightly higher in the fourth quarter, but it's been running, you know, it's maybe $20 million higher or so than other quarters this year. I think it's a reasonable run right now. I mean, as I've said in the past, leasing expenses move around depending on the timing of events. So it's hard to read very much into any one quarter, but I think it will probably stay roughly around these levels in 2025.
Hillary Cacanando: Okay. Is it due to, like, air pass, you know, transitioning costs or just compelling them or if anything specific that you could...
Peter Juhas: It's just a combination of all of the things that go through really. You know? So it's mainly yeah. It's the timing of all these events that happen. That's why it will bounce around from quarter to quarter. But overall yeah. I mean, you can see like, I think that I think, like, $150 a quarter is...
Hillary Cacanando: Got it. Great. Thanks. Thank you so much. Helpful.
Operator: The next question is from Jamie Baker with JPMorgan.
Jamie Baker: On Russia. Given what you've written down and what you've now received, where does that bring us in terms of the percentage of the recovery? Actually, let me put it more precisely. Sorry. You know, of the amount you've recovered, what percent is that of the original book value? Not, you know, necessarily what you wrote down, but the original book value that you estimate has now been recovered. Thanks in advance, and I'll see you on the twelfth, Gus. Thanks.
Aengus Kelly: Well, so the write down, Jamie, was about $2.7 billion pretax. That was net of some offsets that we had because we released maintenance. So call that $3.2 billion that we had a book value there. So we recovered $1.3 billion in 2023, roughly, and another $200 million in 2024. So that gives you an idea of where we stand relative to that initial book value.
Jamie Baker: That's perfect. Thanks for doing the math for us. Appreciate it. Take care.
Operator: The next question is from Stephen Trent with Citi.
Stephen Trent: Thank you. And thank you for taking my question. Can you guys hear me?
Aengus Kelly: Sure.
Stephen Trent: Great. Sorry. I was having some trouble with my phone. And I said, thank you very much for taking my question. Just some quick ones for me. The first, is when we think about that very attractive triple B credit rating, do you see any benefit from maybe pushing that rating higher in terms of thinking about net spreads?
Aengus Kelly: Well, Stephen, so as you know, we're triple B plus with two of the rating agencies. We're on positive outlook with Fitch. We'd hope to see that converted to triple B plus with Fitch as well, which would be helpful. And look, I think that, you know, this has been a good trajectory for us over the last few years. And in recognition of the resilience of the business and the strong performance and the outperformance in terms of cash flows and all of that, so could it go higher? It could go higher. But we'll have to see where that goes. I think that, you know, net our spreads at the moment, as you know, are at historically tight levels. Right? They're around 80 basis points on a five-year. So that's very good. How much benefit would we get from getting up to A minus? Hard to say. But, look, certainly, we'd welcome higher ratings. That would be a positive.
Stephen Trent: Okay. Very helpful. And just an industry question for you, and I know this doesn't exactly pertain to you guys, but looking at the uncertainty in the US today with respect to potential tariffs, are you seeing anything in the market that might suggest sort of US-based airlines are pulling back a little bit on sale-leaseback transactions just given the having to potentially pay a tariff on whatever they purchase even if they sell it back to a lesser? Would just love your view on that. Thank you.
Aengus Kelly: Thanks, Steven. No. We haven't observed any change in behavior from any airline as yet in any part of the world. I think things are far too uncertain to commit to a course of action for anyone at this point in time.
Stephen Trent: Makes sense. Thank you very much, Aengus.
Operator: Pleasure. The next question is from Terry Ma with Barclays.
Terry Ma: Hey. Thank you. Good afternoon. So first, I just want to confirm the core EPS guide contemplates the use of the $1 billion buyback and nothing increments above that. And then just more broadly, you're well below your leverage target with a potential to go even lower with additional Ukraine recoveries. Can you maybe just talk about how you think about moving back to a more optimal leverage level and over what time period?
Aengus Kelly: Sure. So thanks, Terry. So on your first question, yes. What that guide is based on is the utilization of our remaining amount under the existing authorization, which is $164 million today, and the new program of $1 billion, nothing beyond that. And then, look, in terms of where we are, so our leverage ratio now is 2.35 to 1, which is relatively low, as you said, below target. As things go forward, as the year progresses, I mean, well, obviously, as you've seen, we've deployed lots of capital. We've deployed lots of capital both in terms of returning capital to shareholders, and I referenced in my prepared remarks over the last two years, we've bought back almost 30% of the market cap. It's hard to find any other company that has done that. But by the same token, we're also looking at opportunities to grow, and we've seen good attractive opportunities to do that over the past year, which is where we deployed capital. So we'll just have to wait and see how that happens. But you know, we are deploying it in significant ways. It's just this business generates a huge amount of capital, a huge amount of cash flow as you've seen.
Terry Ma: Got it. And then I may have missed it. Like, you maybe just unpacked the gain on sale margin of 43% this quarter a bit? And as we kind of look forward to this year, any color you can provide on how we should think about the margin as we kind of factor in the demand you're seeing from the different types of buyers you mentioned and also just the mix of assets you have earmarked for sale. Thank you.
Peter Juhas: Yeah. So the well, we've seen a strong margin pretty much across the board, across all asset types that we've been selling aircraft and engines. So it hasn't really been driven by any one area in particular. As we look out, I don't think the mix is gonna change significantly in 2025. Look. Obviously, the gains on sale were very high this year, 43% in the fourth quarter, 27% for the full year. That's much higher than normal. I do think that, you know, we will probably be above long-term averages, but how far above, it's hard to say.
Operator: The next question is from Moshe Orenbuch with TD Cowen.
Moshe Orenbuch: Great. Thanks. Pete, it feels like your guidance, you know, is pretty conservative and, you know, obviously, conservative is better than not, and it's always been your, you know, kind of approach. But can you maybe just unpack the $6.6 billion that you've got for 2025 in lease rents? Right? I mean, if you look at the fourth quarter and just, you know, kind of simply multiply that by four, you're at $6.5 billion. And given the commentary, you know, from the last couple of questions and during the call about opportunities out there, whether it's for lease, you know, lease renewals at the same or higher levels as well as, you know, kind of potential sale-leasebacks and other things. Could you just talk a little bit about inherent in that $6.6 billion?
Peter Juhas: Sure, Moshe. So, really, what we're expecting is kind of steady progression of that a gradual increase quarter by quarter of the basic lease rents. And that's really due to we are putting leases in place at higher rates now given the good environment. But it takes a while for that to roll through their portfolio. And so I would expect this steady progression to continue throughout next year and beyond, really.
Moshe Orenbuch: Great. And, you know, one of the things that I think Gus alluded to that the, you know, planes are spending less time in service, and that's kind of been a benefit for your engine leasing business. It's not something that you've talked about much and, you know, kind of looking at Yeah. You know, looking at the joint venture income I think you've only got $100 million in 2025. Just talk a little bit about the engine leasing business and your outlook for it in 2025.
Peter Juhas: Sure. Maybe I'll I can comment on that line item, the guidance, and then Gus can talk about generally. So, you know, if you look, Moshe, in 2024, the net income from equity method investments was $159 million. And our guidance was $100 to $150. So it is close to that level of 2024. The one thing that's worth noting here is that as we've done some of these new engine deals, and SCS has done these new engine deals, we've changed the terms of them. So that rather than receiving monthly maintenance from CFM, we are receiving full-life engines at the end of that lease. So they are shopping the engines and returning them to us in full-life condition. We think that's a better economic result, frankly, but what it means is you're not recognizing that main but but it's lower monthly maintenance revenue, basically. And that's what explains that line item.
Aengus Kelly: As you rightly point out, I mean, the engine business, these are very desirable assets, and it is a unique position that we are in the industry.
Operator: Sure. The next question is from Catherine O'Brien with Goldman Sachs.
Catherine O'Brien: Hey, good morning, everyone. Thanks for the time. So know we'll get know, these figures are gonna change once we get your 20-F later this morning as you'll have renegotiated some of these already. You know? But as of the 2023 20-F, I think you had 131 aircraft between 2025 and 2026 with leases expiring. That's about 13% of your year-end 2024 passenger fleet. Can you just help us think through what percentage of these are COVID-era leases and what the upside to lease rates could be for these aircraft, you know, the COVID ones as they move to, you know, new leases at today's rates? Thanks.
Aengus Kelly: Regardless of the specific numbers of aircraft, if you just think generally about our fleet, the average lease term is six to seven years. So that's what you have capable of repricing in any given year. And so that's how I would think about it. You know, if you were to look at all the leases to reprice, that's the term. It'll happen over a seven-year period.
Peter Juhas: And, Katie, maybe it's helpful just to if you look at the COVID-era leases, just generally, we expect those to run off pretty much about one-sixth a year from now going out until, say, 2031, 2032. So it takes a while for that to come through. But it will be a tailwind for us going forward.
Catherine O'Brien: Okay. Great. And then maybe just another one on the engines. You announced another $2 billion in engine commitments today. Can you walk us through what is driving the incremental investment in engines? You know, of course, the gap of supply and demand that market's well documented. So is it that the economics are better on engines and aircraft, or is it just, like, the backlog for aircraft is too long and today's pricing on buying new engines make more sense than aircraft from a return on capital standpoint? Just, you know, any thoughts on the comparison of economics between engine and aircraft and why the incremental dollars are going to engines today would be very helpful.
Aengus Kelly: Sure. Well, I think, Eddie, you've gotta look at our position in the engine business as a partner to the OEMs providing part of the after-sales product that the engine OEM gives to its customers. So in many respects, the engine leasing businesses that we have, one is SCS, one is in-house, is a logistics business. Where, you know, you are moving vast numbers of engines every week around the world at the instruction of the OEM. So it's a different type of business to leasing. It's a different payment structure, and it is a position where we have unique infrastructure that's been built up over candidly thirty years. Since that business began to have the infrastructure around the world to rapidly move engines from, you know, if we get a call on Friday and we're told by the OEM you need to take one engine back from New York, another one has to get to Tokyo, one more has to get to Saigon, take one back from Delhi. That's what that business does. So it's a slightly different, situate type of business, a significantly different business from a straightforward financing business. And so our ability there is unique, and we add value to the OEM's after-sales service. So it's a very different type of business. And when you get the opportunity to grow that, that's where we want to grow.
Catherine O'Brien: Great. And maybe I could sneak one more quick follow-up to an earlier question in, a modeling one. You know, Pete, am I right to assume that the $8.50 EPS does not include any buybacks, you know, just maybe this math is too simple, but dividing $1.6 billion in net income by $8.50 gets you to your 4Q share count. So any out there. And then just on the repurchase authorization more generally, you know, it's your largest ever announced. Should we think of that as a comment on buyback pacing, or what else the larger announcement? Thanks so much for all the time.
Peter Juhas: Sure. Well, I would just think of it as kind of at the midpoint of that range that's assuming that we're fully deploying that the full authorization. So, obviously, one way to think about the low end is we're not deploying it fully, or we just have more, you know, other contingencies in there. Right? So that's it's really just a range built around that midpoint is probably the best way to think about it from a modeling standpoint. And then in terms of the pace of buybacks, as I kind of referenced before, look, this is we're only assuming that for now, but if we can outperform these projections, if we get more excess capital coming in, then we'll have to figure out what to do with that. And certainly, return of capital to shareholders has been one of the key ways we've done that. So it's reasonable to assume that we would continue, but obviously, we look at all opportunities that are available.
Catherine O'Brien: Sure. Thanks so much.
Operator: There are no further questions at this time. Mr. Kelly, at this time, I'll turn the conference back to you for any additional or closing remarks.
Aengus Kelly: Thank you, operator, and thank you everyone for joining us for our full-year earnings call, and we look forward to talking to you in the coming months.